Michel Morin: Hello, everyone, and welcome to Millicom's Second Quarter 2021 Earnings Call. I'm Michel Morin, Head of Strategy and Investor Relations at Millicom. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; and our CFO, Tim Pennington. And after their prepared remarks, we will have a Q&A session. By now, you should have received a copy of our earnings release, which is available on our website along with the slides that we will be referencing during today's presentation. Now please turn to Slide 2 for our safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results.
Mauricio Ramos: Thank you, Michel. Good morning, and good afternoon, everyone. Thank you for joining us today on this video conference call. I hope you enjoyed the short video. This is how one of our colleagues in Panama described, in his own way, our Sangre Tigo culture. This video actually went viral inside the company. And we wanted to share with you because it gives you a sense of the pride, the enthusiasm, and energy of each one of our 21,000 employees. Thanks to them, we had an outstanding second quarter. So let's get started on that on Slide 5. As I said a minute ago, we had an excellent quarter. Our strong performance in Q1 continued into Q2, and we're still gaining momentum, which is setting us up for a solid second half of the year. I will go in more detail on each of these points in the next few slides, but these are the key highlights. We had double-digit service revenue and EBITDA growth, and more importantly, you will see that we're also growing compared to 2019. As you also know, we now have more and more satisfied customers, better networks, more revenue, more EBITDA, more growth, and more cash flow than we did before the pandemic started. We're now seeing growth in every one of our lines of businesses. Our home or cable business is growing double digits. We continue to have solid net additions, penetration higher on the networks, and grow ARPU. Mobile is also up double digits, and we had one of our best quarters ever for postpaid net additions, especially in Colombia. And B2B is now back to positive growth as we're seeing a strong demand for our digital solutions. And finally, we're seeing these strong results across the board in every country. Say differently, every part of our business grew in Q2. And let's go into the details beginning on Slide 6. There are two messages on this slide. First, our service revenue and EBITDA grew double digits this quarter. I know that we had an easy comparison versus a very difficult quarter last year, but look at the charts on the right, you can see that we're also growing compared to Q2 2019. We're up more than 3% on service revenue and more than 4% on EBITDA compared to Q2 2019 on an organic basis. We now have more revenue and more EBITDA than we had before COVID and we're now also growing faster. And as you can see on Slide 7, all engines are backbone, and every business is now contributing to our growth. This chart does a good job of describing our journey over the past year. Obviously, Q2 of last year was a low point for our business. The mobile business was hit very hard by lockdowns last year, but prepaid recovered quickly, and it is now our fastest growing business. Postpaid, as we expected, took a bit longer to recover, but it is now accelerating at the fastest rate.
Tim Pennington: Thank you, Mauricio. So let me get straight into the financials. Turning to Slide 15. On Slide 15, you can see our usual bridge from the IFRS reported numbers to the LatAm segment numbers of 1.4 billion in service revenue and $620 million in EBITDA that we're discussing on this call. Now let me start on Slide 16 with the macro backdrop. We have seen economic activity gradually recovering in most markets. In Central America, there's been record levels of remittances, and economists are forecasting GDP growth of 3% to 5% for most countries. Inflation is climbing somewhat, but it's still at manageable levels. FX rates have been generally stable, and indeed, we have seen almost a 1% revenue growth coming from FX tailwinds. Vaccination rates are below 25% in most of our markets, and COVID has certainly not disappeared from Latin America. Indeed on many counts, it may now be one of the most affected regions in the world. That said, we do not see a return to the more severe levels of mobility restrictions that were in place this time last year.
Mauricio Ramos: Thanks, Tim. Before we take your questions, let me recap the most important takeaways today. First, we have invested in the business and in our networks throughout the pandemic, and this is clearly paying off. We've increased our customer base and our market share in most countries, and we're winning in Colombia. Second, our growth is accelerating, and that's why we expect our CapEx to be higher in the second half because it is directly linked to our subscriber gains in postpaid and in home. And to more available network coverage and prepaid, which in turn yields more usage and revenue. Third, our operating cash flow is on track to hit our full-year target of at least $1.4 billion. And fourth and finally, in light of our strong operational and financial performance, are confident that we can further continue to reduce leverage and fully continue to invest in the business, and our favorable outlook for the remainder of the year, we will resume shareholder remuneration with a share buyback program of about $100 million that Tim just mentioned. Our growth now gives us room to continue to invest in the business, continue to deliver rapidly, and resume shareholder remuneration. We're also happy to think that our stock is one of the best investments we can make today. And with that, we are now ready for your questions.
A - Michel Morin: Thank you, Mauricio. And thank you, Tim. So we'll now begin the Q&A session.  So our first question is coming from Marcelo Santos of JPMorgan. Marcelo?
Marcelo Santos: Hi. Good morning. Thanks for taking my question. I have actually two questions. The first one is on Colombia. So we saw you had a very good result in terms of net adds on your new postpaid campaign. I would like to understand a little bit better outlook for margins. We took a bit of a hit this quarter and as well as the ARPU, which was a little bit softer. So that's the first question. The second question is on Bolivia's performance, which although it decreased a lot on a year-over-year basis, it was one of the few countries that had quarterly sequential declines, both in service revenues and EBITDA. So if you could comment a little bit more on Bolivia, would be very helpful. Thank you.
Mauricio Ramos: Sure. Thank you, Marcelo. Good to see you, and thanks for your questions. On Colombia, generally speaking, we're, as you can see, very, very pleased with our results in the market. It's been a quarter in which we've been able to show all that we can do with the new network and with increased commercial distribution that we have. And you're seeing now the results in terms of just strong, strong net adds. We can talk a little more about Colombia later, but specifically, on your question on net adds and the outlook for margins, we like the new normal, where we win in Colombia. We're happy to reinvest our continued customer and revenue growth into our margins because Colombia for now is a good, strong game of volume, and we are gaining volume in Colombia. So we are very happy with the outlook that we have for our increased position in Colombia. And again, we can talk about more strategically in a minute. And Bolivia, you're right. It's one country where we are not yet back at the pre-COVID levels, but it's coming back very, very strongly. We envision that it will be back there very, very soon. In Bolivia, as you know, we went through a couple of years of political and the macro-turmoil. Things are a lot more stable today than they are. We like the stability that we're seeing in Bolivia. The business continues to perform every day, much stronger than the day before. Despite competition on mobile, we see some stabilization really happening in our marketplace, and that's why we're very positive that it will be back to pre-COVID levels later on in the year. And the home business in Bolivia is just like hitting back in old years. A few years ago, we didn't have our own business in Bolivia. Now we have a very strong home or cable business that we built over the last five years, and we continue to grow that cable business with strong ARPU and subscriber growth. And as a result of that, we're bullish that we're going to come back to Bolivia perhaps later this year back to pre-COVID levels.
Marcelo Santos: Thank you very much.
Michel Morin: Okay, thank you, Marcelo. Our next question will come from Stefan Gauffin at DNB. Stefan? Stefan, you may still be on mute.
Stefan Gauffin: No. There we are. Can you hear me?
Mauricio Ramos: Yes.
Stefan Gauffin: First, I would like just to continue on Colombia. We saw this with the network performance versus peers. And you're still lagging on one of the key metrics, coverage. Just give us an understanding where you are versus America Movil in terms of 4G network coverage in Colombia? Secondly, the investments in cable homes passed, that accelerated again this quarter after being a bit slow during the pandemic. How should we expect that going forward? Are you trying to come back to higher coverage of the cable network? And then just thirdly on El Salvador reporting 20.5% service revenue growth, which is exceptional. Can you just – what explains this development? And what should we expect there going forward? Thank you.
Mauricio Ramos: All right. Thank you, Stefan, and those are all excellent questions. Let me perhaps take Colombia a little bit more holistically because I know we're going to get a lot of questions on Colombia. So I think it's better just to go at it in a more holistic manner than just the specific bits and pieces. So let me go at it both operationally, financially, and strategically, and hopefully, that will give everybody a complete picture of what's going on in Colombia. Let me start with the short-term. Our quarter results, we view, as outstanding. We, as I said earlier to Marcelo's question, we like in this quarter to have been the player in Colombia with the most net adds on postpaid of the entire ecosystem there. And you can go and look at the portability numbers in Colombia yourselves, those are public, and you'll see that we're the net winner. So we actually love the Colombia results this quarter, is what we expect that we will be doing today. And remember, we're talking about these net gains in the context of a new entrant in the market. So there are nothing short of, we think, very, very strong. Now, what's going on operationally first in Colombia? On mobile, we had record postpaid net adds in Q2. We never had this kind of record net adds in Colombia. And that's happening because we're number one in portability, as I said. Now the reason for this, as you very well point out, and I'll address your question, Stefan, directly is because we now have the best network in Colombia. And we're marketing it as such. And this is according to various number of sources. And we're also, on the back of it, providing best quality of service. And as you know, we've doubled the size of our commercial distribution network for postpaid, so no surprise that we're getting the results that we're getting. Now that one area in the network that we're missing, coverage, you should not be at all focused on that because Colombia is a huge, huge, huge market and I urge you to look at the map, which shows them  right. So a specific geographic coverage of Colombia is not something that we aim to win on, because we already cover 99% of the urban population and where it matters. As a matter of fact, we're getting additional revenue because we're getting additional coverage. The coverage that matters, we already have, and the coverage that matters indoor we got as a result of the 700 megahertz and the fastness with which we have built the network. We'll continue to gain a little bit in coverage next year, but it is not the one area that consumers focus about. We win in all the other relevant categories by far. Now our home business, just to continue holistically, what's going on in Colombia, continues to grow very, very strong. We have 32,000 net adds this quarter, which is pretty darn good. And if you do the math, our home revenue is growing double digits in Colombia, with much better penetration, 32, 33% almost in Colombia. And that goes to the point, I think, your second question, I'm going to mix it with Colombia is revamped cable growth. You saw that if you go back a year or so, we built about half a million homes. We will continue to build homes at a rapid clip. We have a target of reaching about 60 million homes, which we don't really call a target, we call a horizon because, obviously, it can continue to grow after that as the socioeconomics in the region improve. There's been one key development in Colombia, which is that we can now get to build homes in Colombia, build homes in Colombia, using the open fiber that other providers are putting into the marketplace. We view that as positive. There are now today two open fiber providers in Colombia, and that will help us get to those horizon levels in a much faster way, but also in a less capital-intensive way, giving us access, particularly one of them to the Bogota market, where we have had very little access so far. So Colombia, operationally, we think, is where we wanted to be. Now financially, you've seen the numbers. Our revenue growth is 9.5% top in the pack, for sure. And we're happy, as I said, to reinvest that margin. Because when you look at Colombia, and I want to be super clear with everybody here strategically, the name of the game is for us to gain volume at this point in time. So don't be surprised that the margins are depressed. They need to be depressed because we're gaining share in Colombia. Now if you look at the big picture strategically in Colombia, we now have a state-of-the-art nationwide network. Mobile, we have both high and low frequencies. It is an empty network for us in Colombia when we only have 15 to 20% market share. So we stand to gain significantly. And as I've said before, we now have access to Bogota on mobile because we have low-frequency bands. When you look at home, we now have a network in Colombia, which is about 5.5 million homes with HFC. But now we will have access to Bogota because one of the two key open fiber providers will give access to Bogota and now we stand to gain by having access to Bogota. When you look at this, Bogota, which is 40% of the GDP in Colombia is a market where we had historically have had little access on both mobile and fixed. And going forward, we're going to have better access, both on mobile with our new network that penetrates indoor and allows us to have access to that market. And also on fixed because we're going to finally be able to sell through this open fiber provider in Colombia to the Bogota market. So when you couple these things and our state-of-the-art networks, we're pretty bullish on our ability strategically to be better positioned today than we have ever been in Colombia. And the ability to drive FMC in Colombia because we are both fixed and mobile networks. So when you put all that together, we don't only just like the cube results, we like the outlook for Colombia ourselves. That was a handful on Colombia, but hopefully, that kind of gives everybody the big picture in Colombia and also answers your questions, Stefan. And in El Salvador, I think, Tim, go ahead, you need to unmute.
Tim Pennington: A little more realistic point on this is that, yes, the margins were lower in Colombia, but the group margins were higher. And that's the way we manage the portfolio. We took a view that we wanted to have best income and we're mindful of the margin progression of the group as a whole. And therefore we can manage it as a portfolio. That's the advantage of having a portfolio. So I just will need to make that point because I think people are getting loss was that the margins are lower in Colombia, of course they are. But for the group and for the latter, they're still above 40%. Sorry, Mauricio, back to you.
Mauricio Ramos: No. It's a fantastic point. We like investing in Colombia at this point in time. It's the right thing for us to do. So all this growth, all this additional growth that we have, we're like investing it in our margin in Colombia because that's what's going to give us the scale that we need in Colombia going forward. Now El Salvador, if you recall, three or so many years ago, we were struggling in El Salvador. So we did the right thing. We bought some spectrum. We put money behind the network. We changed the management team and supported them strongly. We've increased our commercial distribution in El Salvador as well. We've increased our focus on the consumer in El Salvador and just our service layers in El Salvador. And we have now the highest NPS we've ever had in El Salvador with a strong network and a strong commercial distribution. So no surprise, we are getting fantastic results in El Salvador. It is both execution and focus with investments.
Stefan Gauffin: Very clear. Thank you.
Michel Morin: Thanks, Stefan. So our next question is going to come from Vitor Tomita at Goldman Sachs. Vitor? Vitor, you're on mute.
Vitor Tomita: Sorry for that. So good morning, Mauricio, Tim, Michel, and everyone, and thanks for taking our question. Two questions from our side. The first is if you could elaborate just a bit more on the accelerating growth in Guatemala despite the limited COVID impact in the second quarter of 2020? And the second question from us would be, if you would at all consider increasing buyback limits if cash flow and deleverage performance goes better than expected over the next few quarters? Thank you.
Mauricio Ramos: Sure. So I'll take one and then perhaps let Tim think a little bit about too. So if you just let me, I'll give you the very optimistic view, right? So I like our stock and I think we – our outlook is improving on every little bit. So you need to have a balance here on that answer. So listen, on Guatemala, it's a good industry structure, it's a two-player market, very well managed by the players. That's the summary of Guatemala. If you think about Guatemala, think of the template that perhaps we should be getting toward in many of our other two-player markets. Again, good industry structure, well executed. Now on the back of that, of course, there is investment in the network. When it became a two-player market, we decided to invest further in the network. We bought some spectrum in a very tactical manner. And again, put money toward the consumer, and that is what's yielding these results that you see today. Better network, better distribution, and a lot of focus. And in Guatemala, you also see us growing in home. It kind of gets bundled up with its fantastic mobile results, but we have a growing home business in Guatemala that like everywhere else in the region, we think really underpins our mobile service. And on the buybacks, I mean, our logic on the buybacks, you've heard us articulate, the business is doing well. We actually have fairly bullish outlook going forward. Our leverage is coming down. We're putting all the money we can into the organic CapEx investments. So we have room to start the buybacks. And the more confident we grow, perhaps more bullish we'll be. Over to you, Tim.
Tim Pennington: Look, the $100 million that we announced today, in context, that is really just taking us to May next year, back to the AGM. So unlike in the past where we announced three-year plans with bigger numbers. This really is just an integral step that allows us to get to the AGM next year. And we'll take a view for there as to what we do next. But I think it was very important for us to restart the buyback program. And I think as Mauricio has really sort of set it out, I mean, if the stock stays where it is and our cash flow remains where it's going, then obviously it will be an option for us to look harder at that.
Mauricio Ramos: I mean, to just give you a complete view of how we view, we've got – we think we've got very strong financial and operational performance, and our outlook is improving, we think. We got all the internal investments fully covered. I mean, you've seen us actually invest most in the business in CapEx this year. We got our EBITDA growing, so we're deleveraging rapidly. So we feel it is the right time for us to go forward with this buyback program. And the more of these good results that we see, the more bullish we're going to be with buyback programs. That's the summary of it all.
Vitor Tomita: Very clear. Thank you.
Michel Morin: Thanks, Vitor. Now we're going to go to Mathieu Robilliard at Barclays. Mathieu?
Mathieu Robilliard: Good morning and thank you. I had a few questions. The first one may be going to Panama. I think this is a country that, obviously, has been hit hard by the pandemic, and you flagged in the past that it had a disproportionate impact on B2B trends. I think I saw in your release that in Q2, things remain a bit challenging. So I was wondering when do you see the light out of the tunnel, so to speak, in Panama? Is it something that is still a tough market for the next few quarters? Or could it be a driver for further growth? So that's the first question. I'll go after that to the others, if that's okay.
Mauricio Ramos: Yes. So Panama is, for us, the way to say this is we're kind of on the waiting room, if you will, or if you like horse racing, we're kind of on the starting stall, if you know what I mean, just with jitteries are ready to just like the horse go. And what's holding it back is simply the economy kicking into high gear. If you go back to the numbers we showed you, Mathieu, the consumer business really has had meaningful growth in terms of units, both on fixed, which we have continued to grow. And on mobile, which we have continued to grow steadily, we showed you the numbers on the back of cross-selling. And when you look at the B2B customer numbers, we haven't really lost any market share. We're just there waiting for the economy to come back. And this is why I said that we're so very well-positioned in Panama for when the economy comes back. It was 18% decrease last year. It's growing 5% to 6% this year. But – and as you know, we met with the president a couple of weeks ago in the U.S. president of Panama. And what we got was the same, is that they're really, really well-positioned into the medium-term and long-term. The third line of the Panama Canal is going to be built for investment is coming back to Panama, and there's ambitious projects. So I don't know exactly, Mathieu, whether it's going to be next quarter or the quarter after that or whether we're going to have to wait a little bit longer. But what I do know for sure is that Panama is ready to go back to growth and that we are the best positioned because we've done everything there to be ready. It's not just that we've grown our customer accounts, it's that we've modernized the network, we've changed the brand, we've integrated the businesses. If you were to go to Panama today, you would think that Tigo has been there for the last 30 years. That's how well we've done that integration. So again, let the race start because we're going to go fast in Panama as soon as the economy. And on B2B in particular, that's a good point.
Tim Pennington: I think, also a point on Mauricio, that we did 3% sequential kind of growth in Panama in service revenue came up quarter on quarter. And our quarter number, I think it's the best number we've had since kind of the fourth quarter of 2019, which was, of course, seasonally, so that there's always a strong quarter. So I think we've seen very, very nice recovery in Panama. And the KPIs that are extremely strong. So we feel well set for the future.
Mathieu Robilliard: Thank you. Then I had a question on your OCF. Obviously, the H1 run rate seems to be above the targets or at least easily meet the target. I think you pointed obviously that there's a bit more back-ended CapEx in H2 compared to H1. But are there any other headwinds that we should be aware? Or are you just, as usual, being cautious.
Mauricio Ramos: Go ahead, Tim.
Tim Pennington: Headwind, I mean, we basically – we set our soul out this year to do big investment in – we saw how well it worked last year, and we are continuing to modernize networks. But one of the biggest drivers for this is the customer uptake, that is affecting the capitalization. And that's just good CapEx, as far as I can see. So we saw that our EBITDA is running higher. And therefore we felt there's a real opportunity to reinvesting that back into CapEx slightly higher than maybe you expected, but I think it will drive future growth.
Mathieu Robilliard: And then lastly, maybe it's probably a bit difficult to know at this point in time, how is the pandemic situation, for me at least, in the different countries, obviously, there's a fourth wave in Europe and in US. I don't know how important that is at the moment in the areas where you operate and if, to some extent, you are allowing for that risk in your outlook for H2 2021?
Mauricio Ramos: Thank you for asking that, Mathieu, because if you were to hear us, just not mention COVID on this call, you would get the sense that we're oblivious to what's happening in the markets. And we're not. We're not. We're very bullish and we're very optimistic because of two things, despite what's happening in the market. One is we've demonstrated over the last year, our strong resilience. Our cash flows are strong. Our customer pickup is strong in the middle of the pandemic. So what we think is we got the way to work through it. We've gained confidence that despite COVID we've got the tools and the focus to manage through it. So that's where you hear us be so bullish despite the fact that there is a third wave out there in our markets. In terms of a little bit of detail, there are about four or five countries; El Salvador, Colombia, Panama, and Costa Rica that are reaching 25% vaccination rates. The rest are less, 5% to 10%. But the key to this question from a business point of view is not only how we're selling, we demonstrated we could be, we've reduced debt. We've increased investment. We've gotten more customers in the middle of the pandemic because we know how to handle the situation. The key thing is that we don't expect that COVID will drive, despite how harsh it is, will drive any more strong lockdowns than we've seen in this quarter. That's the key to it. It is clear that politically, economically, socially, there won't be any more strict lockdowns in our countries, simply because people want to get out and work and want the kind of economies to work. And that is part of what we feel bullish about our outlook.
Mathieu Robilliard: Thank you very much.
Michel Morin: Thank you, Mathieu. So we'll now go to Soomit Datta at New Street Research. Soomit?
Soomit Datta: Hi there. Yes. Thanks for the question, guys. Two or three, please. And apologies if I did miss some of this detail earlier. On the homes passed, there was a nice pickup in the first quarter. Can you give any granularity on where that is coming from? And maybe some thoughts on the kind of run rate we could expect going forward? And again, maybe where we might be seeing some of that happening by market? And then secondly, and I guess this is probably a little bit related. Just on the CapEx increase, can you give any more granularity again in terms of where – I suppose thinking how much of that is maybe wireless? How much of that is cable? How much of that might be expanding the cable plan? How much of that is coming from more homes connected? If you could kind of frame the increase a little bit more. And that would be super helpful. Thank you. And then I have one more, but maybe if we could do those first, that would be great.
Mauricio Ramos: Sure. So on the homes, and they're spread out between Nicaragua, Guatemala, Colombia, and Bolivia, for the last couple of quarters, give or take. Going forward, we will adjust our 1 million homes target per year, two-quarters of a million, by the speed at which the open fiber in Colombia becomes available to us. And I think that's an important part of the conversation here, Soomit. So we're happy with the run rate that we have today, which is, call it, half a million to three-quarters of a million because we've been really, really happy with increasing the network penetration. It helps us with cash flow. It helps us with return on investing capital. And as you very well know, it helps us drive the sales forces to drive on not only the new greenfields, but also sell on the existing homes, and that's just a better use of capital. But going forward, we have a fair amount of open fiber environment in Colombia, which we think is very, very positive with at least two players there. So we will adjust our capital and redirect the spent to build in areas where open fiber is not available to us. So we'll find a way to adjust our home passed numbers so that it's clear to you that what of that we're building and what of that we're having access from the open fiber providers in Colombia. So I hope that helps you a lot on the homes passed. And the CapEx, before I hand it over to Tim to give you a little bit more visibility on that, the key thing on our CapEx is, yes, we've built homes and we've picked up the number of homes with modernized networks last year and this year. And every time we modernize or build a network, you see the pickup in revenue. Think of El Salvador, think of what's happening in Panama. So this year, part of the CapEx is going to continue to build the 700 megahertz in Colombia. We haven't finished that. So we're in the process of that here. But the most important thing is that it's very variable driven. It's likely CPEs now in homes and installation in homes and a lot of the postpaid as well on mobile. And that's really why on the prior question, we really can manage our OCF for the year because a lot of the CapEx is variable. It's growth CapEx. And over to you, Tim, if you want to add anything to Soomit's question.
Tim Pennington: I think you pretty much covered it actually. I mean, clearly, the home installations causes a pickup in overall CapEx. I mean, that now is running at about, I don't know, 30 to 35% of our overall CapEx. And you've seen the pickup in homes build, which kind of – it's not massive in terms of incremental CapEx, but it adds a bit. And we are looking at some modernization in the mobile space. And like you saw the Ericsson announcement a couple of weeks back. So I think it probably – I haven't got the numbers exactly to hand, but it probably is roughly the same equal installation, home build-out, and mobile build-out.
Soomit Datta: Okay, thanks. And maybe just one final question, if that's okay. You may have seen or not, I know you've been super busy. But here in the UK, there was another big FTTH overlay announcement made with Virgin Media. And these seem to kind of come along on a regular basis now, i.e., kind of cable networks, overlaying FTTH. I know you've probably answered this question more times than you'd like to have. But is there any kind of edging closer to that sort of process for you guys?
Mauricio Ramos: Yes. So two things needed to happen for FTTH to precisely get to the point that you're describing. One is the total cost of owning it going forward needed to be as good as a good HFC network. And number two, the video environment needed to be one where you could – the video ecosystem where FTTH could and to deliver the product. And both of those things have happened for us, the second point because of Android in our markets. So going forward, there's no doubt that our greenfields will be fiber. There's no reason not to do fiber. It's cheaper, and the video ecosystem is good. And so that's a good position for us to be in. I think we've waited for the right time for all of our greenfields now to be fiber going forward. And as you know, speeds in our markets are at a point in time where a brand-new HFC network allows us to compete extremely, extremely well. So with the existing network, I don't think it's happening anytime soon.
Soomit Datta: Okay, that's clear. Thank you.
Michel Morin: Thanks, Soomit. So now we'll take our, what I believe will be our last question from Fredrik Lithell at Danske Bank. Fredrik?
Fredrik Lithell: Thank you. Thank you for taking my question. Nice to see you all well. I had a few questions, if I may. Firstly, on home, if you could discuss a little bit around your pricing strategies in your various home markets? If you see any sort of positive trends in that sense on pricing specifically, maybe now or maybe going forward or what your strategies are there? And then I would like to sort of maybe put a question on spectrums on the mobile side. You have good sort of effects from the 700 spectrums in Colombia. It's a 4G spectrum. Would you want to go for more 700s in your other markets in order to improve your reach if that becomes available? Or would you want to go directly to maybe the central 5G spectrum, three and a half gigahertz in order to capture better speeds in cities and so on. So how do you put forward your strategies on the mobile side in terms of spectrum? Thank you.
Mauricio Ramos: Sure. On the home pricing, we do Cable 101 when it comes to our pricing strategies. And we've been doing this now for a good number of years and, Fredrik, you may have heard me say this before. We try to create space for strong net adds on home by basically giving higher speeds to the upper tiers, creating space for us to come with mid or lower tiers, speed tiers, that do not take away from our ARPU. It's been done in the industry for a number of years. That's exactly what we're doing every mark, to basically create tiering for speeds that allow our ARPU to be harvested positively going forward. And the proof of that is that our ARPU in dollar terms for the region has continued to inch up just about every quarter. And you see that this quarter, we're up 2.7% in dollar terms. I could be off on that number, but Michel can correct it. And that's simply because of this tiering strategy and the high demand that we have from home. So we are just – that home business is a growth driver for us, and it has been for the last few years. As I said during the call, we've been – we've built a business that now has scale, $1.7 billion. It's got growth. We're adding four, 500,000 new net adds on a yearly basis. And with ARPU that is actually growing on dollar terms just about every quarter. So it is a pretty strong business for us. And one, and I think back to Soomit's question earlier on, one that has a ton of runway for us because there's a number of homes that have not been built, we will continue to build. And perhaps now with access to fiber in Colombia, we'll be able to speed up our ability to penetrate those markets. So extremely happy with home, both on volumes and ARPUs, and the growth going forward. Spectrum, over the last two to three years, we bought spectrum in a number of places. And everywhere we bought it, and we've built the network, we've seen the success, Colombia and El Salvador are obvious cases, but the same in Guatemala. We've added a new carrier on some spectrum that we bought there, and you see the results in Guatemala as well. In Panama, we're using spectrum, AWS spectrum that we expect to finally buy from the government in the next year or so. And you'll see the subscriber pickups in Panama are strong, and that's in the back also of using this AWS spectrum on a rent basis, if you will, during the pandemic. We're happy overall with our spectrum positions. We are in no need of spectrum just about anywhere in our markets. We've made some investments over the last four years or so that have corrected or improved our spectrum position, Colombia and El Salvador and Panama are the most obvious ones. So we have no need for additional spectrum at this point in time anymore. Now 5G, going forward, some countries want to politically run faster than others. And if those auctions do come into place, of course, that we're well-positioned in all of the markets to be an acquirer of 5G. But from a regional point of view, 5G is just not quite ready for primetime in our markets. We think the absolute right thing to do for our economies is to continue to drive 4G penetration. That will have the highest impact on the well-being of our societies because it's still pretty low.
Fredrik Lithell: Perfect. Thank you. Could I just have a follow-up, a little bit of a housekeeping. The Ghana transaction, was that closed in Q2? Did it drag any costs? Or did you have any items in it? Is it out of the books? Or should we expect something to show up in Q3 from the Ghana transaction?
Tim Pennington: We haven't closed it yet, but all of the Ghana costs and impacts are in Q2 just in that they should be all. Certainly, the first half should be down – further impacts us.
Fredrik Lithell: Perfect. Thank you.
Michel Morin: Thanks, Fredrik. I believe we had one last question actually, just came in from Stefan Billing. Stefan, I don't know if you are in the queue. Okay. Here you go. You need to unmute. Perfect. Stefan, the floor is yours.
Stefan Billing: Thank you very much. Hi, everyone. Yes, a few questions. First of all, regarding the prepaid net adds this quarter. I know you had a really good step-up on the postpaid. But given the strong growth in remittances as far as I understood in some of your markets during Q2, are you a bit surprised that the prepaid didn't increase as much? Or did you deliberately keep it down? So that's the first question. The other question is a little bit on OpEx. I'm looking at some of your markets. And I see some sequential increases in costs, at least I think I see it, in Panama compared to Q1 in El Salvador and in Colombia. Colombia, I think you have answered already, but maybe you can say something about if there are some special things in Panama and El Salvador. And just the last thing, where are you, do you think, in terms of closing Tanzania? That's it.
Mauricio Ramos: So I think I've used the line on Africa quite a bit about the movie out of Africa, beautiful movie, but it's a long, long movie. And if you look at the edits at the end, they go on for a long, long time. So Tanzania is on track. We're going through the motions of regulatory approval, talking to the government, et cetera, but it's a slow process as everything in Africa. I don't know, Tim, if you have any more color than that on Tanzania other than just be patient.
Tim Pennington: No. I mean, it's just going through its regulatory process. There isn't some model for these things. So they have to make it up as it go along.
Mauricio Ramos: And then on the OpEx, and Tim, you can add a lot of colors here. The markets that you highlight, Stefan, are very similar to Colombia. We were perhaps just focusing it on Colombia, but the countries that you highlight with higher OpEx, Panama and El Salvador, just like Colombia, are the countries where we're getting a ton of subscribers coming in, both Panama and El Salvador just have had tremendous user intake. By the way, both in mobile and in-home, both Panama and El Salvador have had meaningfully important home net adds. And it's also the markets where we've modernized and increased the size of our network. When we modernize a network in El Salvador and in Panama, we also pick up areas of coverage. And as a result of that, you see the OpEx highly correlated with our subscriber and revenue growth on both fronts. And lastly, on prepaid, I think the key to this is, of course, we had a great Q4. We had a great Q1. So the slowdown is only natural. But most importantly, think of all those net gains that we had on prepaid in the prior quarters as our fishing pond for postpaid. About half of the Colombia postpaid subscribers came from our own prepaid base. So we're basically using the prepaid net gains that we had in the prior quarters as part of our fishing pond going forward. And that's what we should be doing because then, of course, we know those subscribers quite well.
Stefan Billing: Good. Thank you very much
Mauricio Ramos: Absolutely.
Michel Morin: So that's the last question. Mauricio, if you want to make some final remarks.
Mauricio Ramos: No. Just to thank everybody for being here with us today and for paying attention. Very happy with our Q2 results. I think it shows what we can do going forward. Very happy with the direction the business is going. We're decreasing leverage, adding subscribers, revenue growth, and EBITDA growth have come back. And just about in every metric, we are higher than we were before COVID. And with this renewed confidence, we're happy to be able to restart shareholder remuneration with the buyback program that we mentioned earlier. As you can see, we're very bullish, not only on our outlook, but on our stock. So thanks, everybody, and we look forward to hosting you in a quarter from now.